Operator: Ladies and gentlemen, welcome to the American Tower Third Quarter 2016 Earnings Conference Call. At this time, all lines are in a listen-only mode. As a reminder, today's call is being recorded. I would now like to turn the conference over to our host, Ms. Leah Stearns. Please go ahead.
Leah C. Stearns - American Tower Corp.: Thank you. Good morning. Thank you for joining American Tower's Third Quarter Earnings Conference Call. Our agenda for this morning's call will be as follows. First, I will provide some brief highlights from our financial results. Next, Tom Bartlett, our Executive Vice President and CFO, will provide a more detailed review of our financial and operational performance for the third quarter as well as our full year outlook for 2016. And finally, Jim Taiclet, our Chairman, President and CEO, will provide a brief update on technology trends and how they impact our business and strategies. After these comments, we will open up the call for your questions. Before I begin, I would like to remind you that this call will contain forward-looking statements that involve a number of risks and uncertainties. Examples of these statements include those regarding our expectations for future growth, including our 2016 outlook, foreign currency exchange rates, dividend growth, leverage and future operating performance, as well as technology and industry trends and any other statements regarding matters that are not historical facts. You should be aware that certain factors may affect us in the future and could cause actual results to differ materially from those expressed in these forward-looking statements. Such factors include the Risk Factors set forth in this morning's press release, those set forth in our Form 10-K for the year ended December 31, 2015, and in other filings we make with the SEC. We urge you to consider these factors and remind you that we undertake no obligation to update the information contained in this call to reflect subsequent events or circumstances. In addition to this morning's press release, we have posted a presentation, which we will reference throughout our prepared remarks under the Investor Relations tab on our website. So turning to slide 4 of our presentation, I'll provide a few highlights from the third quarter. During the quarter, total property revenue grew approximately 24% to nearly $1.5 billion. Total revenue grew approximately 22% to over $1.51 billion, and net income attributable to American Tower Corporation common stockholders increased by approximately 212% to $238 million or $0.55 per diluted common share. Further, adjusted EBITDA grew by more than 17% to approximately $915 million. And consolidated adjusted funds from operations increased by nearly 15% to approximately $641 million or $1.49 per diluted share. And with that I would like to turn the call over to Tom.
Thomas A. Bartlett - American Tower Corp.: Hey, thanks, Leah. Good morning, everyone. Hey, we had another quarter of strong organic tenant billings growth and margin performance across our global asset base, in fact, achieving record levels of new business commencements in the quarter. Once again we achieved double-digit growth rates across all of our key metrics. During the period, we declared a common stock dividend of $0.55 per share, which for 2016 we are targeting to grow over 20% from the prior year. Simultaneously, we continued to diligently integrate the Viom assets, while focusing on driving organic growth and scaling our business worldwide. We also achieved our year end leverage target about 3 months ahead of schedule. If you please turn to slide 6, let's take a look at our quarterly results. Total reported property revenue growth was nearly 24%. This included total tenant billings growth of over 21%, of which about 8% was organic, driven by consistent wireless customer demand for our real estate throughout our global footprint. And as I mentioned, organic commenced new business in the quarter was at record levels, about 23% higher than the Q3 of last year, split almost evenly between our U.S. and international businesses. Our U.S. property segment revenue growth was about 3.6%, factoring in a negative 1.7% impact from straight-line revenue recognition. In addition, we booked about $0.5 million in decommissioning revenue this quarter, as compared to about $4 million recorded in Q3 of last year, resulting in an additional 50 basis point negative impact to the growth rate. For the quarter U.S. organic tenant billings growth was right in line with our expectations at 5.7%, reflecting a slight acceleration from Q2. Volume growth from colocations and amendments contributed about 4.4%, while pricing escalators contributed 2.8% and other run-rate items contributed about 30 basis points. This was partially offset by churn of about 1.8%, of which the vast majority was associated with smaller, non-Big Four tenants. And as we disclosed last quarter, operational churn from the Big Four wireless carriers, what we call core networks in the U.S., which is defined as excluding activity on the former Clearwire network, has remained at about 30 basis points. Demand trends in the U.S. remain steady, with carriers actively spending to augment the coverage and capacity of their 4G networks. Our international organic tenant billings growth was 13%, about 725 basis points higher than of that the U.S. While pricing escalators driven by local CPI indices contributed about 7% to that growth, volumes from colocations and amendments were an even larger component, at about 7.3%. Other run-rate items contributed an additional 40 basis points. These all were partially offset by churn of about 1.6%. There was broad strength across our international property segment, with all three achieving double-digit organic tenant billings growth rates for the sixth quarter in a row. Organic tenant buildings growth was almost 14% in Latin America, 12% in EMEA, and over 11% in Asia. Our large, multinational tenants in all these markets continue to make significant investments in their networks, as more and more of their customers gain access to affordable advanced handsets and begin to use significantly more data on those handsets. And these network investments appear to be catalyzing incremental usage as the mobile experience gets better and better. For example, a carrier deploying a new greenfield 4G wireless broadband network in India has reported that its customers on average are already using well over a gig of data per day on that network. Along with trends like this, we expect the geographic tenant and technological diversification built into our business model to continue to drive strong growth rates for our international portfolio. Further, day one revenue associated with the nearly 46,000 sites we've added since the third quarter of last year, which includes the Viom portfolio and about 2,100 new builds, contributed another 13% to our global tenant billings growth in Q3. Our new build program remains active, and we constructed over 350 towers globally this quarter. While this level of build activity was a bit lower than historical levels, we would expect this trend to reverse and build activity to pick up again in Q4. Our newly built sites averaged an NOI yield of over 10% this quarter on a consolidated basis. Moving on to slide 7, gross margin in the quarter was nearly 68%, which was negatively impacted by pass-through revenue and the addition of nearly 46,000 new lower initial margin sites. In the quarter, adjusting for the impact of pass-through, we converted more than 90% of revenue to gross margin on sites that we've owned for more than a year. This strong conversion performance generated rising NOI yields across our portfolio. The average NOI yield on international sites built or acquired up to and including 2009, for example, rose to 32%, while the NOI yield on sites added between 2010 and 2013 improved to 13%. And even on sites added in 2014 and later, including Viom, NOI yields are rising, improving sequentially to about 10%. We think we have a tremendous opportunity to increase these NOI yields over time, particularly on our younger assets. Finally, our adjusted EBITDA margin was about 60.4% for the quarter, which was similarly impacted by pass-through and new sites. Cash SG&A as a percentage of revenue declined to 7.4% in the quarter and is expected to be under 8% for the full year. Our adjusted EBITDA and consolidated AFFO growth in the quarter is detailed on slide 8. Adjusted EBITDA grew over 17% to approximately $915 million. And consolidated AFFO grew by nearly 15%, driven by a combination of the solid adjusted EBITDA growth I just mentioned and seasonally lower than expected capital improvement CapEx. We do expect higher levels of capital improvement CapEx in fourth quarter due to the underspend this quarter. Consolidated AFFO per share growth in the quarter was almost 14%, resulting in year-to-date AFFO per share growth of over 12%. Moving on to slide 9, we remain committed to maintaining a strong balance sheet and our investment grade credit rating. In late September, for example, we raised a total of $1 billion in unsecured senior notes with a weighted average maturity of over 7 years at historically low coupon rates for ATC. This transaction increased our average debt tenor to 5.3 years, increased our proportion of fixed rate debt, which is now 76% overall, and even higher for U.S. funded debt at 80%. This transaction also allowed us to continue our long-held strategy of paying down our outstanding bank debt, which has primarily been used to support past acquisitions. This allows us to maximize our financial flexibility. In addition, as of the end of the third quarter, we achieved our goal of reducing our net debt to annualized adjusted EBITDA to 5 times, 3 months ahead of schedule. Longer term, our target leverage remains between 3 and 5 times. In addition, we continue to be well protected from the impacts of potentially rising interest rates. In fact, a 25 basis point increase in LIBOR would result in just in a $9 million in impact to AFFO on an annualized basis. Turning to slide 10, given our solid year-to-date performance, continued improvements in foreign currency exchange rate forecasts, and Q4 growth expectations that are broadly consistent with our previous assumptions, we are raising our full year guidance. We are increasing the midpoint of our outlook for property revenue by $50 million or about 0.9%, resulting in projected full year growth of almost 22% or just over $1 billion. The increase is being driven by about a $25 million increase in pass-through revenue and a $5 million increase in straight-line revenue on an FX-neutral basis, with the remaining upside being driven by favorability from foreign exchange rate trends, principally those generated in Q3. As in the past, our revised outlook does not contemplate impacts from pending transactions. Within our total revenue projections, we continue to expect U.S. organic tenant billings growth of about 5.8% for the year, which reflects a steady demand environment. Internationally, we expect organic tenant billings growth of over 13%, supported by strong trends in markets like Mexico and Ghana. We do expect slightly lower full year tenant billings growth in India as compared to our prior outlook, primarily due to carriers temporarily pausing some of their activities as they're waiting for the recent spectrum auction to conclude. However, we anticipate that organic tenant billings growth in Asia will increase to the mid-teens level during Q4. At a consolidated level, organic tenant billings growth is expected to be nearly 8%. Day one revenue from sites added in the last year is expected to contribute the balance of our anticipated tenant billings growth through the year or just about 15%. The growth outlined above has resulted in the continued expansion of our base of non-cancellable tenant lease revenue, which now stands at around $32.5 billion, with an average remaining lease term of 5.7 years on a consolidated basis and at about 6.4 years for our Big Four wireless customers in the U.S. We are also raising the midpoint of our outlook for adjusted EBITDA by $25 million, resulting in expected full year growth of about 16%, or roughly $500 million. The $25 million increase is being driven by a slight increase in net straight-line, $15 million in FX favorability, and roughly $10 million in expense management outperformance relative to our previous expectations for the property segment. This is being partially offset by a slightly lower expected contribution from our services segment versus our prior outlook, as a result of lower activity levels. Finally, we are raising our outlook for consolidated AFFO by $30 million or by over 1% at the midpoint, resulting in expected full year growth of about 15% or about $320 million. This $30 million increase is being driven primarily by about a $20 million increase in cash EBITDA and roughly $10 million in lower net interest expense. Assuming an average diluted share count of 429.5 million shares, this implies consolidated AFFO per share of $5.75 at the midpoint, reflecting a per share growth rate of over 13%. Before we move on, I'd also note that factoring in October month-to-date actual FX rates and holding current spot rates constant for the rest of the year would result in additional upside of over $20 million for property revenue, $10 million for adjusted EBITDA and about $5 million of consolidated AFFO relative to the midpoints of our revised outlook. Turning to slide 11, so far in 2016 we have demonstrated an ability to simultaneously de-lever the balance sheet, deploy meaningful capital to both our CapEx and acquisition programs, and continue to fund a common stock dividend, which is expected to grow over 20% versus the prior year. Much of this is attributable to the significant internal cash flow generation capacity of our business, which is illustrated on this slide. As you can see, on a full year basis our projected cash from operations of around $2.5 billion allows us to fully fund over $900 million in expected common stock dividends and more than $700 million in anticipated total capital expenditures, while at the same time leaving us around $1 billion of additional discretionary investment capacity. As a result, we've been able to close significant transactions like Viom as well as other smaller deals for a total of around $2.1 billion year to date and still reach our leverage target of 5 times a full quarter earlier. This leaves us with around $300 million in incremental capacity for the fourth quarter. This estimate doesn't include any of the anticipated proceeds from our European JV transaction, which we announced earlier today. Going forward, we would expect the internal cash flow generation capacity of our business to expand further, as we continue to drive the high-margin conversion ratios on our organic revenue growth throughout our global footprint. In combination with being able to lever our incremental adjusted EBITDA growth, we would expect to have significant recurring investment capacity going forward. In addition, as we announced this morning, we've signed an agreement to form a strategic joint venture in Europe with PGGM. The formation of this joint venture, in addition to aligning us with a high-quality partner, will free up even more cash for us to deploy throughout our higher growth markets. In addition, the JV has been established to explore, evaluate, and potentially invest in new market opportunities in Europe. At closing we will contribute our German assets into ATC Europe, and PGGM will acquire a 49% interest in this entity. American Tower will retain operational control and day-to-day oversight of the business. Turning to slide 12, and in summary, we are well-positioned for a strong finish to the year, as our global business continues to generate solid growth across all of our key metrics. Our outlook now reflects consolidated AFFO per share growth of 13%, up from around 10% in our initial guidance provided in February. And we continue to expect dividend growth of over 20%. Looking forward, we believe we are poised to continue generating meaningful returns for investors for several key reasons. First, we're able to tap into the secular growth trend in mobile on a global scale, which we believe, when combined with our operational execution, will lead to strong recurring growth across our existing asset base. Second, given our proven approach to capital allocation, a solid balance sheet with a capital structure within our targeted range, and healthy free cash flow generation, we will have significant capacity to either invest in our business or return directly back to stockholders. And lastly, we believe we will continue to be able to generate strong growth in our common stock dividend. Putting this all together, we believe that we have built a dynamic, sustainable, long-term model for generating meaningful growth. And with that I'll turn the call over to Jim for some closing remarks before we take some Q&A. Jim?
James D. Taiclet, Jr. - American Tower Corp.: Thanks, Tom. As is our tradition for third quarter calls, I'll focus today's remarks on wireless trends and technology. While the emphasis this morning is on the U.S., we expect similar trends to follow in our other served markets. Mobile data usage continues to escalate rapidly. According to Cisco, the average U.S. smartphone now consumes more than 1.4 gigabits of data per month or a 1,700% increase from just 5 years ago. Video continues to power a significant portion of that usage with advanced devices like the iPhone 7 and services like go90, YouTube, and Netflix. Consequently, total mobile data usage in the U.S. is now at more than 500 terabytes per month. Despite this, 4G penetration is estimated at only 60% to 65% in the U.S. today, indicating that there is still significant growth to come simply from the device upgrade cycle, as subscribers acquire more advanced handsets. So to keep pace with the strain these trends create on mobile networks, the Big Four U.S. wireless carriers have consistently spent about $30 billion per year in CapEx since 2010, or roughly 15% of their total revenue in aggregate. And while the total spend has remained consistent, the per-gigabit cost for wireless carriers has dropped by more than 99% since 2005. This dramatic drop in expenses per-gigabit has been supported through a combination of new spectrum, technology advancements and radio access network investments in new sites. We continue to believe that this level of capital intensity, which has been maintained over the last 10 years and has supported strong organic tenant billings growth for our business, is sustainable over the long term. In addition, over the past 5 years the U.S. government has auctioned or otherwise made available close to 300 megahertz of new spectrum. We expect incremental spectrum assets like AWS-3 and the WCS bands, as well as the 700 megahertz spectrum that's been committed for the forthcoming public safety build-out, to be employed over the next several years. As in the past, to fully capitalize on the availability of this spectrum we anticipate that new antennas and radios will be placed on our towers, which should continue to help support healthy levels of growth for us in the U.S. We also expect the vast majority of these deployments in the near to medium term will take place on 4G macro tower networks, particularly given that the 5G standard isn't expected to be formalized until 2019. Meanwhile, technological advancements such as software defined networks, self-optimizing networks, and Cloud-RAN, among others, continue to focus primarily on the mobile core network. These advancements have enabled mobile carriers to achieve significant savings on their core network operations, freeing up more resources for the radio access network that we support. At the same time, macro towers remain the most cost and technologically efficient solution for radio signal propagation in the vast majority of areas across our country. Looking forward, we expect that improved devices, greater 4G penetration, more and better applications, and consumers' behavior will continue to drive mobile data usage at a 30% to 40% annual growth rate. In addition, the expanding role of the Internet of Things, or IoT, will add further demands on mobile networks. In the near to mid-term this network burden will be shouldered by 4G technology. We expect that any near term 5G deployments will be extremely short range, essentially used for fixed wireless solutions. And furthermore, we expect that many early deployments of 5G will actually be indoors, where ATC is already a leading provider of indoor small cell networks today. Eventually, after the year 2020 we do think 5G technology will be widely applied for mobile applications, beginning first in dense urban areas, then spreading to suburban and rural areas predominantly served by macro towers. This timeline also coincides with the clearing process of the 600 megahertz spectrum that's currently being auctioned. To the extent that this spectrum is in fact used for a broad 5G coverage build-out, we believe it could be a significant benefit for our tower business, given the large size and substantial weight of the antennas required for optimal use of low-band spectrum like 600 megahertz. To the extent you'd like some additional information on the evolution of 4G and the potential impacts of 5G on our business, I'd encourage all of you to reference the presentation we have posted on the Company and Industry Resources section of the American Tower Investor Relations website. So to summarize, we believe that the U.S. is still probably in the fifth or sixth inning of 4G deployments. And that further 4G equipment installations will still be largely on macro towers. And 5G, while initially a primarily fixed wireless broadband technology to compete with the likes of cable, is likely to eventually be deployed for mobile services across our macro tower infrastructure that mainly serves suburban and rural areas, where most Americans live and commute. As a result, we expect to generate solid growth in the U.S. market for years to come. So with that, operator, please open the call up for questions.
Operator: Thank you, sir. Our first question comes from the line of Phil Cusick. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Thanks. I wanted to ask about India and Mexico. It looks like India was a big driver of strength this quarter, but you're guiding to a pause given the auction. Can you talk about what you're seeing lately and what you've seen from the Viom assets? And in Mexico, what does the runway look like there? It seems like two of the three carriers are spending aggressively to deploy LTE. Is that still accelerating? And what do you see from the third carrier? Thanks.
James D. Taiclet, Jr. - American Tower Corp.: Sure, Phil. It's Jim. On India, there is, now that the auctions are completed, an expectation on our part that we're going to see continued solid growth on our assets. And as far as performance between Viom and legacy ATC India, they're trending just about the same. So we've got solid growth on both sets of assets. And in India there's going to be a significant 4G build-out led by R-Jio, Reliance Jio. And we did recently sign a significant contract with one of the 4G players that's going to drive substantial new business for us starting in the fourth quarter and beyond. So we're really quite confident that India is going to meet our investment objectives.
Philip A. Cusick - JPMorgan Securities LLC: So is the slow down there sort of a quick planning slow down? And you expect a re-acceleration early next year?
James D. Taiclet, Jr. - American Tower Corp.: Yeah. I think now that mobile operators understand their spectrum position and the resources, financial resources it took to achieve those, they're now going to be able to make solid plans for their next fiscal year, which, for them, ends in March for this year and begins in April for their next fiscal year. So it should set up for a strong 2017 for us. Then in Mexico...
Philip A. Cusick - JPMorgan Securities LLC: Okay. And on Mexico?
James D. Taiclet, Jr. - American Tower Corp.: Yeah. Then in Mexico, there is heightened competition. There's extensive deployment of 4G networks. Service pricing for subscribers has come down due to the competitive, increasingly competitive, wireless environment in the country. That's driving usage, just as it's done in the United States. And so we have really solid growth in Mexico. Our organic tenant billings growth there was more than 13% last quarter. And it'll be at least 11%, maybe more, over the course of this full year. So Mexico is moving towards 4G. The obvious three major players there are AT&T, Telefónica, and América Móvil. I think you'd have to refer to their own statements as to their exact schedules of deployment and pacing. But in our business, we're seeing really solid growth from the whole industry.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, Jim.
James D. Taiclet, Jr. - American Tower Corp.: Yeah.
Operator: Thank you. And our next question comes from the line of Amir Rozwadowski. Please go ahead.
Amir Rozwadowski - Barclays Capital, Inc.: Thanks very much. I was wondering if you folks could talk a bit more about the prospect for new spectrum deployment in the U.S. You did mention in your prepared remarks your expectations for new spectrum deployment, such as AWS-3, WCS, and FirstNet over the next few years. But it does seem like that we are close to the start date of deploying that spectrum than we have been in the past. Any chance you can provide us with any additional insight here? And then I've got a quick follow-up.
James D. Taiclet, Jr. - American Tower Corp.: Sure, Amir. Again, it's Jim. On AWS-3, those deployments are beginning. They're going to, we think, be much more robust through 2017 again and similarly, and maybe even a little bit beyond that, for WCS. I'll pause on those two for a second because they're relatively high-band spectrum to be augmenting what's out there today. Ultimately, that means that in addition to, on many sites, not necessarily all sites, but many sites, there will be amendments. There will also need to be eventually a closer and more numerous array of transmission points to get the same signal quality from higher-band spectrum such as this, versus what's out there again deployed today in the 700, 800 [MHz] band. So we expect amendments and a mix of colocations going forward based on that new high-band spectrum being put into place. As to FirstNet's 700 megahertz spectrum, there is scheduled to be a winner of the competition with the government selecting that next month, in November, we are led to understand. But based on the schedule that's out there today, that would infer a probably mid-2017 and beyond deployment of actual equipment. And depending on the winner of the architecture and the roll-out plan, we'd be able to comment further in the next few months on any impacts to our business. But we'd expect them to be in a positive direction.
Amir Rozwadowski - Barclays Capital, Inc.: Thanks very much. And then on your European JV, what has changed in terms of the market in terms of your interests in that market? I mean clearly, you had assets in the region for some time. We've seen some of the other companies spin out some of their tower assets, the operators spin out some of their tower assets. How are you thinking about that opportunity over the longer term?
James D. Taiclet, Jr. - American Tower Corp.: We're thinking about it today similarly as we have over the last 7 or 8 years, which is we're eager to get a strategic position of size in the European market, but we've only found one opportunity in Germany with KPN a few years ago, where we could meet our investment criteria as far as asset pricing and then the characteristics that we thought the business would evolve to over time. It's a relatively lower growth market. Our price points need to reflect that when we do asset purchases and hope that there will be more opportunities to achieve that over the next few years, Amir. What this joint venture sets us up to do is should we and our partners at PGGM believe that we have a good opportunity, we'll be able to finance it much more efficiently. We could, in theory, do a large-scale move in Europe with our partner with much less strain on our own balance sheet potentially. And PGGM is very attractive to us, because not only have they been a long-term investor across many industries in Europe, so we get the benefit of their insights of the region, they've also been very active in the tower space over the years. And we've dealt with them before. So we think we've got the best partner to ride along with us as we continue to evaluate and hope to find some European investments over the next few years that meet our investment criteria.
Amir Rozwadowski - Barclays Capital, Inc.: Thanks for very much for the incremental color.
Operator: Thank you. Our next question comes from the line of Tim Horan. Please go ahead.
Timothy Horan - Oppenheimer & Co., Inc. (Broker): Thanks a lot, guys. Maybe at a broad level, Jim, we added a lot of LTE coverage and capacity a few years ago. Where are the carriers at a high level in terms of adding capacity? And what's the breakdown look like in terms of amendments and maybe new cell sites? And then just also a clarification on India, I think you said next quarter it's going to go to the mid-teens. From everything you know on India at this point, do you think this is kind of sustainable for a few years? Thanks.
James D. Taiclet, Jr. - American Tower Corp.: So sure. Just start with the U.S., and I'll begin with coverage and capacity for LTE. Most of the country, per their public announcements, has reasonably solid coverage across all four of the major U.S. national carriers. And there's a lot of capacity work that still needs to be done, though. And the other piece of this, as I said, is we've got higher band spectrum and much more video content being run across the network, which indicates that you're going to have to have cell sites closer together for the high-band spectrum, simply because when you do carrier aggregation, you're ultimately going to have to solve for the lowest common denominator of spectrum, meaning the shortest transmission range. And as you get into 1.9, 2.1, 2.5 [GHz] types of spectrum, you're going to have to have more numerous cell sites frankly over time. So that's still going to have to happen both for a capacity need, which is more bits of throughput, as we've talked about, going through that network. And also the higher signal to noise quality that you need, because your spectrum doesn't travel as robustly. And secondly, you've got video, which requires much more powerful signals to be usable. So we still think there's again three or four good solid innings, if not more, of 4G capacity and edge coverage deployment in front of us in the United States. The amendments and co-locations, Tom, you can give the latest number on that.
Thomas A. Bartlett - American Tower Corp.: Yeah. I mean in the – hey, Tim. In the U.S. we've been roughly 70%/30% kind of amendment to co-lo. And interestingly enough, international, it's been almost exactly the flip of that. It's been about 70% co-lo, 30% amendments. And I would expect that typical type of trend to occur over the next 6 to 12 months. We'll see what kind of impacts the – some of the spectrum being deployed that Jim mentioned before. And with regards to India, we do expect a heightened activity in Q4. If you take a look at over the last six to eight quarters in Asia, Tim, we've been in kind of that 10% to 13% kind of growth range on a organic tenant billings basis. My sense is that that's probably a fair range looking forward in that market. With the $10 billion that the carriers just spent on spectrum in the market, we know that they're going to want to get that deployed. And so we see 4G activity going on in the market. So a lot of good things are happening in India. But I don't think the mid-teens type of a rate that we're going to see in Q4 is something that we'll see long term. I think it'll revert back to some of the more traditional kind of 10% to 12% kind of growth rates.
James D. Taiclet, Jr. - American Tower Corp.: Yeah. And I think to support those kind of 10% to 12% growth rates in a market like India, if you look some of the real fundamentals there, first of all, the industry structure is rationalizing and becoming sustainable for long-term investment. Right? So you're going to have probably half a dozen at least well-financed, scaled operators that can actually effectively and profitably deploy 4G across that vast country. So you've got an industry structure that's rationalizing. Secondly, spectrum and narrow bands and also very sort of fractionalized deployment of spectrum has been a limiting factor on mobile data deployment in India. That's been essentially cleaned up, if you will, or again rationalized with this latest auction and some of the smaller players either exiting, et cetera, giving those bigger players not only the financial capacity to do 4G but now the spectrum position to do it effectively as well. So as a platform, you've got the industry and the spectrum in place to do it. And you've got a pattern of investments already by the carriers there that look a lot like those in the U.S. They're spending 15% to 20% of their revenue on capital expenditures, similar to as the U.S. did during its growth phase. There's $4.5 billion to $5 billion a year being spent in India by these carriers now. And they've got so much work to do, because far below 25% of the subscribers have 3G or 4G. 75% to 85% of people in India are still literally on 2G, texting and talking on their phones. There's incredible opportunity there. And then on top of everything else, you've got this catalyst of Reliance Jio out there sort of leading the market. So this low double-digit growth rate, as Tom suggested, we think can be sustained for quite some time.
Timothy Horan - Oppenheimer & Co., Inc. (Broker): Thank you.
Operator: Our next question comes from the line of David Barden. Please go ahead.
David William Barden - Bank of America Merrill Lynch: Hey, guys. Thanks for taking the questions. I guess the first one would be, Tom, can you just put some numbers around this European JV? Specifically, how much money are you getting? How does it value the portfolio? And kind of compare and contrast the cost of funding that you think you can generate there versus in the U.S. And then second, just on the ForEx. Obviously it's not a huge issue this quarter because it's working for us. But historically you've had a approach to picking the guidance numbers for FX. I think it was the trailing 30 days or the consensus average forecast. And given for instance in the real how big the delta is between your guidance and the spot rate, I was wondering if you'd kind of inform where that number comes from. And then lastly just as a housekeeping item, I think you'd said something about maintenance CapEx being deferred in the quarter. I was wondering if you could size that for us. Thanks.
Thomas A. Bartlett - American Tower Corp.: Yeah, sure, Dave. First of all, just on the European joint venture, we're looking to secure about $250 million – or €250 million on the transaction. So that gives you a sense of the – kind of the sizing of it. And then as Jim and I both had mentioned, we'll be using, pushing our assets into a European JV. We own and we operate it and control it. But we're really excited about having PGGM in the operation. And we'll look to bring that cash back and reinvest it as we talked about it in some other high-growth opportunities. We'll have additional capacity, as I also mentioned, because we've achieved our target leverage kind of 90 days before we had thought. So that will leave us with roughly $300 million of capacity. And then we'll have this additional €250 million. So we feel good about how we're ending the year, where we are from the balance sheet perspective. On the FX side, you're right. As I've always kind of said, we know we're going to be wrong in terms of how we look at FX, but we're consistent. And so the forecast that we've used for the balance of the year is exactly as you laid out. It's the more conservative of what the year-end forecast would be that we find on – that we see that the banks put out on Bloomberg or the last 90 days of an average spot rate. And so we've been very consistent with that. So the upside that we have included now in our outlook really includes the FX benefits that we generated versus our previous outlook in Q3. And so there were very little incremental Q4 FX upside at you look at it in our outlook. So as I say, it's – we just want to be very consistent and very transparent in terms of how we look at FX. It's well documented in our disclosures. And that's why then even in the remarks that I made, we talked about some of the additional upside, Dave, that we might have relative to a – the rates continuing for the – as they are, the spot rates for the balance of the year. And that was that $20 million I think upside of revenue, which is principally coming from the real. You're right. It's significantly – the spot is significantly below where the forecasted rate is. And it has been all year. And that's provided us less headwinds, if you will, for the year and perhaps some upside for Q4. And then the – you asked so many questions, Dave. What was the last one?
David William Barden - Bank of America Merrill Lynch: I'm sorry. It was the maintenance CapEx deferral I think you referred to in the script.
Thomas A. Bartlett - American Tower Corp.: Yeah. The maintenance CapEx, it is seasonal. I mean if you go back and you look at the trends for last several years, we do generally have a pick up into Q4. And that's usually – that's largely being driven by some of the carriers themselves, but also just our own ability to kind of close out the year. So we're probably looking at about a $10 million increment in Q4 versus Q3. At least that's what would be in the outlook.
David William Barden - Bank of America Merrill Lynch: Great. All right. Thanks, Tom.
Thomas A. Bartlett - American Tower Corp.: Sure.
Operator: And our next question comes from the line of Michael Rollins. Please go ahead, sir.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Hi. Thanks for taking the question. I was curious if you just look at the newer presentation that you're doing for organic revenue growth. Within the U.S., I think in the old disclosures you used to look for a 6% to 8% long-term growth of site leasing. How should we think about the longer-term growth for site leasing under the new set of disclosures and under current market conditions?
Thomas A. Bartlett - American Tower Corp.: I mean, really, virtually it's kind of the same, Michael. I mean there are some nuances in how we're looking at billings growth. We think it's a better representation of what's really being built. It excludes some of the volatility of some of those items that we've talked in the past, like decommissioning revenue and some of those types of things. In the 5.7%, 5.8% growth this year is what we consider real growth in the sustainable recurring growth going in the business. So I think the definitions are actually very similar, candidly.
James D. Taiclet, Jr. - American Tower Corp.: And, Michael, it's Jim. Good morning. We're going to really stick to annual guidance, so we explain where each piece part comes from. We've become such a diversified company now that we think we can hit long-term double-digit AFFO per share growth using all of the mechanisms in all of the markets that we have to work with going forward. And so therefore, we're going to stick more to letting you know when we have timely information from the carriers and a pipeline what the annual growth rates look like in each market. And sort of eschew sort of these long-term aspirational objectives, given we're going to be transitioning from 4G to 5G and operating now in 13 markets. So we'll do that on a annual basis going forward.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): And if I could just follow up. Given some of the comments that you've made on timing for spectrum deployment and some of the higher-level themes that you see impacting site leasing revenues over the next few years, what should investors' expectations be around the timing of new MLA opportunities with some of your large customers?
James D. Taiclet, Jr. - American Tower Corp.: Michael, again, it's Jim. Those are really specific to the situation with the carrier. What's the existing agreement? How long does it last? Do they have a new build plan coming upon them that they want to talk about, a longer-term rearrangement of the contracts? So there's really no way to predict when a mobile operator is going to want to renegotiate an MLA. And what I think you can expect from us is consistent communication with the mobile operators. Our goal, as I've said, is to achieve the most value for our assets and for our investors, while also providing a path to the mobile operator for the most efficient life-cycle costs for the deployment of the infrastructure that they expect they're going to need and try to find that common ground. And so that's what we'll always continue to do. And it'll take different forms of agreement, and it'll take different timing of agreement based on the specific carriers' interest and needs.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Thanks.
Operator: Our next question comes from the line of Colby Synesael. Please go ahead.
Colby Synesael - Cowen & Co. LLC: Great. Two questions, if I may. First, on U.S. churn, if I look at 2016 year-to-date versus 2015, we've seen that moderate. And I'm just curious if your expectation will be that that should continue. I guess more specifically if there's any other consolidation or iDEN churn out there that we should be still thinking about, just a reminder on that, if we're going to get back to normal levels. And then, it's been touched on a little bit already on the call, but this thought around amendments versus new co-lo opportunity, and I appreciate that it's been largely amendments last year, it's been largely amendments this year, it's expected to be largely amendments next year. But as I'm sure you can appreciate, investors are debating if that's a structural change or if that is something that's simply timing. And part of that is around small cells. And while I appreciate that small cells are more expensive to build, and it's more efficient to deploy a macro, the carriers to some degree are capital constrained. And if they do need to be building out small cells and something else has to go in terms of where they're making the investment, one could argue that it seems to be cell splitting. And I'm just curious where the confidence comes from that you think that at some point we will see the cell splitting aspect kind of come back into vogue? Thanks.
Thomas A. Bartlett - American Tower Corp.: Hey, Colby. Let me first, on the churn side. In 2015, as I recall, we had some smaller customers churn off. And so our churn rates are in that 1.5% to 1.8%, 2% kind of range. So I would expect that kind of churn rate to continue.
James D. Taiclet, Jr. - American Tower Corp.: So on the whole equation, if you will, of amendments co-locations, small cells. The amendment and co-location percentages has drifted and varied over time, depending again on what the carriers are doing with their networks. And the reality of how regional real estate managers and the mobile operators or regional network managers operate is that they get a budget every year. And they're going to use that budget, whether it's $5 million or $10 million or $50 million for their region for that period, they're going to use that budget in the most efficient way they can determine to solve the network issues that they have in front of them. And we've got pretty close experience with a lot of these folks. And their list of things to do seems to always exceed the budget they have awarded to them for that year. So there's always network needs to either increase capacity, improve coverage, limit their own churn off to meet growing demand, et cetera. And the list exceeds the budget. So the shake out of amendments versus co-los, it's really what solves the most problems in that given year. And there's always more amendments and more co-los than they can actually do. When it comes to small cells, you just indicated that's probably the least efficient, especially outdoor small cells, are the least efficient option of these individuals to spend their budget. And so they spend that budget in the places only and at the times only on small cells, is our experience, when they have to do so. And so our experience on the total spend going to macro site-type deployments versus small cell site deployments, we've said in the past is about 5% of what we can see right now going to small cells. And perhaps over the next 5 years, that could go as high as 10% of the total, with the total itself growing because of the percentage of revenue and revenue growing. So we really don't see wholesale shifts in the spending pattern or the habits of the people that we deal with in the field on the front line of the mobile operators. And hopefully, that addresses your question.
Colby Synesael - Cowen & Co. LLC: Great. Thank you.
Operator: Our next question comes from the line of Brett Feldman. Please go ahead.
Brett Feldman - Goldman Sachs & Co.: Thanks. I just wanted to get some clarification around your full-year guidance. And just to make sure I get this right, you increased the midpoint of your property revenue guidance by $50 million. All of that appears to be an improvement in your outlook for your international segment. We know that about $23 million of that is currency, so the rest of it would be unrelated to currency. But you actually lowered your outlook for organic tenant billings growth in the international segment. So I was hoping you could just kind of close that gap for us.
Thomas A. Bartlett - American Tower Corp.: Yeah. I mean, it's small. It's really immaterial, Brett. But really it's pass-through I think is really making up the delta. So you're right. It's just over $20 million in FX and $25 million or so in pass-through and there's a little bit of straight line. And some of that is actually occurring in our U.S. business, which gets you to the $50 million.
Brett Feldman - Goldman Sachs & Co.: Okay. Great. And then I just wanted to go back to the JV really quickly so I understand what you're doing. Are you effectively selling 49% of the business that you have right now in Europe? Meaning all of that cash will be coming back to you or are you actually planning on leaving some of that to fund the JV? And then regardless, if the JV finds investment opportunities going forward, is that going to be funded kind of on an as needed basis? Meaning that there will be a call on your capital and would you strive to maintain at least a 51% ownership as you do more deals?
Thomas A. Bartlett - American Tower Corp.: Yeah. It's not a sale, Brett. I mean, we're contributing the assets, and PGGM is going to be our investing partner in that new joint venture. And yes, the cash that we are going to be receiving for that 49% is going to be reinvested in other parts of the business coming back to the U.S. We'll determine where we're going to put it. But yes, that is leaving the JV.
James D. Taiclet, Jr. - American Tower Corp.: Yeah. Brett, just to give you a little bit of background of why we're going forward with this, first of all, it really is an initiative that achieves objectives in all three of our sort of strategic pillars that we've had in place for the last 15 years since I've been CEO here. The first of those pillars is to put ourselves in a situation where we can achieve strategic positioning in a leadership rank of independent tower companies or mobile infrastructure companies in all the most populous regions of the world. All right? And we have that in the U.S. We have that in Latin America. We have that in India. We have that in Africa. And in Europe we'd like to pursue other avenues to achieve that, as long as they meet our investment criteria. So for strategic positioning PGGM is an excellent partner for us in the region to give us a wider window for potential expansion into the market if we – again, if and only if we can meet our ATC investment criteria, which as you know is pretty strict. The second of our strategic pillars is to be, in our aspiration, the top execution, experience, and operator in this space in the world. Right? And I think PGGM has stepped up and validated with us that we are that operating partner of choice. And that we can then team up with others with regional experience or regional positioning to try to achieve that growth aspiration. And thirdly, it's therapeutic to our balance sheet. We've always wanted a strong balance sheet along the way over the last 15 years. We've maintained investment grade for many, many years in spite of growing the business very dramatically, as you've seen us do. And we are going to give proceeds from this that will both help our leverage position in the short term and allow us to redeploy it into newer growth opportunities in the mid to long term. So I think that really this arrangement hits all three of our strategic pillars, strategic positioning, validates our operational expertise, and is conductive to our balance sheet strategy.
Brett Feldman - Goldman Sachs & Co.: And is this an exclusive JV? Meaning anything that you're doing or anything that they're going to be doing in Europe will be done through this JV?
James D. Taiclet, Jr. - American Tower Corp.: Yes.
Brett Feldman - Goldman Sachs & Co.: Great. Thank you for taking the questions.
Operator: And our next question comes from the line of Jonathan Atkin. Please go ahead.
Jonathan Atkin - RBC Capital Markets LLC: Yes. Good morning. I wondered if you can talk a little bit about your broadcast business in North America. And any change that you maybe foresee given the broadcast auctions and maybe the change in the configurations on your broadcast towers. And then on Africa, if you could maybe just give us an update? I think there's been some tuck-in acquisitions in some of the smaller markets. And then with Nigeria and maybe some of your – the trends that you're seeing with respect to MTN and Vodacom and CapEx trends in that market and across the continent. Thank you.
James D. Taiclet, Jr. - American Tower Corp.: Sure, Jonathan. It's Jim. As far as our broadcast business, it's mid-single digit percent of our revenue; a really solid piece of our business, which has very long-term contracts as you know in the TV and radio space. And with the incentive auctions going on now, there are going to be a few moving parts that we think we're in a really excellent position to sort of address and take advantage of. You may recall 3 or 4 years ago, we acquired Richland Towers, which was I guess the second-largest independent in the space, and so we have a really solid position to help the broadcasters that either retain or divest some of their spectrum to stay on-air. Right? So they're going to have to have sites that are both simultaneously transmitting in a market while equipment is being taken down or put up. So we will have plenty of sites for them to move to in the process. And we'll be able to be we think the real estate provider of choice, as this TV station shuffle of spectrum and channels goes through. So we think it's going to be a nice, solid growth business that's going to contribute to our U.S. operations for many years here. As far as the small deals that we're doing, it's the same disciplined investment process that we've had in place for years and years. We've got these very highly qualified teams, I would describe them as, across all the continents globally that are continuing to always look for opportunities for us to invest and meet our criteria of those investments and get AFFO accretive deals for us. And sometimes those are big like in Viom or Verizon or GTP. And sometimes those are modest sized, like in South Africa, we are acquiring the Eaton Towers, adding about 300 sites to our portfolio. It makes a ton of sense for us tactically and strategically. And we'll go ahead and do those smaller deals. Now Africa, as you saw from Tom's presentation, is one of our fastest-growing regions. Much like India, there's incredible need and demand not only currently, but far into the future for mobile service there. There are very low-cost handsets that are going to accelerate the adoption of 3G and 4G for people in those countries that really, really need it. And we've got kind of a pole position there. Certainly in South Africa, we're the independent leader. In Nigeria, we're one of the top two. In Ghana, in Uganda, we are also the clear leader as independents, we feel. So we've got a really good strategic positioning in the countries that we think we need to be in there. And the trends are going to be very similar for the mid- to long-term in Africa as they will be in India, where we think we can sustain double-digit growth rates.
Jonathan Atkin - RBC Capital Markets LLC: Thank you.
Thomas A. Bartlett - American Tower Corp.: And I also just want to further clarify and provide some color on Brett's question on the JV. I mean we expect this JV to be a platform for us to be able to expand in the region. And I'm not going to get into any of the details relative to the JV agreement. But there's always a process within the agreement to the extent that the carriers aren't able to or don't desire to for one to be able to expand in the market without the other. So just wanted to make sure that, Brett, I gave that additional color to you.
Operator: Thank you. And our last question comes from the line of Ric Prentiss. Please go ahead.
Ric H. Prentiss - Raymond James & Associates, Inc.: Thanks. Morning, guys.
James D. Taiclet, Jr. - American Tower Corp.: Hi, Ric.
Ric H. Prentiss - Raymond James & Associates, Inc.: Hey. Thanks for getting me in there. Busy earnings day. I'd like to ask one on the joint venture again. I think it's very creative, nice way to monetize it. But like Tommy just pointed out, you get to stay in the region. Can you give us any color on kind of how the value was arrived at or what kind of multiple the valuation you achieved at? And Dutch pension money, a lot of times very patient long-term money. Is there a possibility to maybe increase the in-country debt funding or in-continent debt funding with that vehicle?
Thomas A. Bartlett - American Tower Corp.: Yeah. I mean, Ric, the answer is yeah. I mean to the extent that there is more euros being generated in the market, there's definitely going to be more opportunity to be able to raise capital on that in the market. So the business itself in Germany, as you know, is not a significant business for us overall from a consolidated perspective. So we don't have significant amounts of euros being generated. We have been able to candidly pull out a fair amount of cash from the business over the last 3 or 4 years since we've owned it. But we're hopeful that to the extent that this platform proves successful, and as Jim said, we have deals over there that make sense for us, that we would be able to increase our exposure into the marketplace. And relative to multiples and things like that, we're really under engaged (1:00:07) to be able to disclose any of those. I think we feel really good about the values that have been ascribed to this business. And I think we have, as Jim said, just a really solid platform to be able to look at other opportunities, therapeutic to the – all of the things that Jim mentioned in terms of supporting our strategic goals in the business. We're really excited about this opportunity.
Ric H. Prentiss - Raymond James & Associates, Inc.: That makes sense. And then you mentioned the $300 million capacity in the U.S. and the €250 million coming back to you. How should we think about stock buybacks versus transactions given the current environment out there?
Thomas A. Bartlett - American Tower Corp.: Well there is a – the transaction deal pipeline has increased around the globe in all of the regions, really absent the U.S. So there is opportunity there. But we don't have any plans to remark on at this point in time to invest in some of those transactions. Our business development teams continue to look at opportunities as I mentioned. And relative to the buy back I think, as Jim mentioned, when we come back in February and talk about our goals and plans for 2017, we can get in a little bit more specific. And we'll have 3, 4 months of more knowledge in terms of just what the activity might look like for the year. We expect to be at that 5 times or below, clearly with this kind of cash that we're going to be getting from the JV and the additional capacity we have. So we feel really good in terms of ability to hit our targets that we laid out at the beginning of the year.
Ric H. Prentiss - Raymond James & Associates, Inc.: One final quick one.
Thomas A. Bartlett - American Tower Corp.: And positioned as well for next year.
Ric H. Prentiss - Raymond James & Associates, Inc.: One final quick one. Do you have in the U.S. any towers that have just CPI escalators? We noticed that one of the other tower companies had their escalators come in lower than we would have thought, and that's because they had a chunk of towers that had CPI in the U.S. base, which in essence have almost been zero escalator. So any significant magnitude of U.S. towers that have CPI based that would be fairly low escalators versus the traditional more like 3%-ish?
Thomas A. Bartlett - American Tower Corp.: Less than 5%, Ric.
Ric H. Prentiss - Raymond James & Associates, Inc.: Perfect. Thanks so much for getting me in on the questions.
Thomas A. Bartlett - American Tower Corp.: You bet.
Leah C. Stearns - American Tower Corp.: Well thank you, everyone, for joining us today. And to the extent you have any further questions, feel free to reach out to the Investor Relations team. We're here to help. Have a great day.